Operator: Welcome to the DT Midstream Third Quarter 2021 Earnings Call. [Operator Instructions]. I will now turn it over to our speaker today Todd Lohrmann, Director of Investor Relations. Thank you. Please go ahead. 
Todd Lohrmann: Good morning and welcome everyone. Before we get started, I would like to remind you to read the safe harbor statement on Page 2 of the presentation including the reference to forward-looking statements. Our presentation also includes references to non-GAAP financial measures. Please refer to the reconciliations to GAAP contained in the appendix. Joining me this morning are David Slater, President and CEO; and Jeff Jewell, Executive Vice President and CFO. I'll now turn it over to David to start the call. 
David Slater: Thanks Todd. Good morning, and thanks everyone for joining us today. I'll start on Slide 3. This was our first quarter as a standalone public company and I'm happy to report that the business continued its strong performance. Based on that performance we are raising our 2021 operating earnings, adjusted EBITDA, distributable cash flow and EPS guidance. We are now on track to deliver 10% EBITDA growth in 2021 compared to our 2020 original guidance. This is industry-leading organic growth. We are also reaffirming our 2022 early outlook, which we feel very confident in. On the commercial front, our team continues to execute on investment opportunities that will deliver distinctive future growth. Lastly, we continue to advance our ESG initiatives, which we expect will also provide growth opportunities and uniquely position the company for success in the long term. Let's turn to Slide 4. DTM has a very simple investment thesis and offers a unique opportunity for investors. Our asset platforms are well positioned to serve key markets from the two premier dry gas basins in the country providing wellhead to market services. We have a clean balance sheet with low leverage and no significant maturities for seven years, supporting our self-funded growth agenda. Our strong cash flow generation is underpinned by long-term, take-or-pay contracts and we are committed to a leading ESG program with strong C-Corp governance and the net zero carbon emissions by 2050. Now I'll pass it to Jeff, who will cover our financial results and guidance. 
Jeff Jewell: Thanks, David and good morning, everyone. I'll start on Slide 5. As David noted, because of our strong year-to-date performance, we are increasing our 2021 adjusted EBITDA, operating earnings and operating EPS guidance ranges. Due to our well-positioned asset platforms and strong contracts, we have benefited from favorable market opportunities, which has accelerated 2022 growth into 2021. We now expect full year 2021 adjusted EBITDA to be between $745 million and $760 million. The midpoint of this revised guidance range provides 10% growth from our 2020 original guidance. Operating earnings for the full year 2021 are expected to be between $315 million and $325 million, with the midpoint of this revised guidance range providing 12% growth from our 2020 original guidance. Additionally, we are increasing our distributable cash flow guidance midpoint for the full year 2021 by $35 million. Let's turn to Slide 6. Our performance for the first three quarters of 2021 delivered strong growth compared to the prior year, while offsetting new public company costs in the third quarter. Adjusted EBITDA for the first three quarters of 2021 was $572 million, which was $37 million higher than the prior year. For the Pipeline segment, adjusted EBITDA was $300 million and the Gathering adjusted EBITDA was $272 million. Operating earnings for the first three quarters of 2021 were $249 million, which was $21 million higher than the prior year. The year-over-year increase in adjusted EBITDA and operating earnings were primarily driven by higher Gathering and Pipeline revenues, including higher revenues from our interstate pipeline joint ventures and the impact of the full year of LEAP in service for 2021. Let's turn to slide 7 to discuss quarterly results. Our third quarter results were in line with our full year expectations and guidance. Knowing this quarter was going to include the new ongoing public company costs. Third quarter adjusted EBITDA was $188 million compared to $194 million for the prior year. For the pipeline segment, adjusted EBITDA was $101 million and the Gathering adjusted EBITDA was $87 million. Operating earnings for the quarter were $75 million compared to $86 million for the prior year. Adjusted EBITDA and operating earnings performance were driven by increased Gathering and Pipeline revenues. These increases were offset by the new ongoing public company costs that started in the third quarter of 2021 and the onetime items that occurred in the Gathering segment in 2020. Now let's move to the next slide to talk about 2022. Our strong performance in 2021 has us highly confident in our 2022 growth expectations and in our 2022 early outlook range. We expect 2022 adjusted EBITDA to be between $755 million and $795 million representing 5% to 7% growth from our 2021 original guidance which includes offsetting a full year of public company costs. We expect 2022 operating earnings to grow in line with adjusted EBITDA and be between $314 million and $330 million. We will keep you updated on our 2022 early outlook as we continue to make progress on our commercial projects and as we work with our key customers and their plans. I'll now turn it back over to David. 
David Slater: Thanks, Jeff. Moving on to slide 9. In the third quarter of 2021, we gathered over 2.6 Bcf a day of production volumes representing a 6% overall growth from the third quarter in 2020. Year-over-year growth in Haynesville was driven by higher production volumes on Blue Union and the system recently hit a record high for volumes during the month of October of 1.5 Bcf a day. Year-over-year growth in the Northeast was driven primarily by higher volumes on the Appalachia Gathering System. Now turning to slide 10. We continue to execute on organic investment opportunities across both business segments, which will deliver distinctive future growth. On our Stonewall Pipeline in Appalachia we executed long-term firm take-or-pay contract with a new customer. NEXUS launched a new open season for additional capacity and a new market connection to generation pipeline. The open season as expected received strong commercial interest. On Blue Union, we completed a treating plant expansion in late October on budget and ahead of schedule and we continue to see high utilization rates on our system given the favorable fundamental environment in the Haynesville. Finally in the Northeast we executed a long-term firm agreement representing roughly 25% of system capacity on our Appalachia Gathering System. Let's turn now to slide 11. We continue to focus on our leading ESG program and have made significant progress this quarter. In September, we announced that we are pursuing a carbon-neutral expansion of our Haynesville system. This is the first of its kind in North America and we have seen strong interest both domestically and internationally on this project. Earlier this week we announced a new strategic partnership with Mitsubishi which is geared towards advancing new hydrogen development projects. We are very excited to work with Mitsubishi and believe that by leveraging the unique capabilities of both companies, we will establish a strong position in this emerging sector. During the quarter we also joined ONE Future and look forward to collaborating on methane reducing initiatives. Now let's turn to slide 12 and I'll wrap-up the presentation. In summary, we continue to deliver strong results and are on track to deliver a great 2021. We expect to deliver industry-leading growth in 2022 and are very well-positioned for distinctive performance over the long term. And with that we can now open up the line for questions. 
Operator: Thank you. [Operator Instructions] And our first question is from Jeremy Tonet with JPMorgan. Your line is open. 
Unidentified Analyst: Hi. Good morning. This is Steve jumping in for Jeremy.
David Slater: Good morning, Steve.
Unidentified Analyst: Good morning. I guess I just wanted to start off on kind of producer activity and kind of seeing what you're seeing there, private versus publics. And then, also, in kind of your basins I see that, on top of the customer connections and everything like that, we're seeing production go up. So I just wanted to see kind of what you're seeing there.
David Slater: Sure, Steve. This is David. Yes. I think we've been experiencing this for some time now, a little bit of a difference between the publics and the privates. I think there's lots of discipline now with the public producers. And the private producers, they seem to be more attuned to growth. However, when we look across our portfolio, Steve, I really think it gets down to the quality of the resource. Our assets lay over high-quality resource across both Appalachia and the Haynesville. And those high-quality resources are the primary focus of both producers, whether you're public or private. And I think the volume growth that we're experiencing is really a reflection of the quality of the resource that we're serving.
Unidentified Analyst: Got it. Thank you. That's very helpful. And then if I could kind of pivot a little bit on the guide raise this -- and then also Stonewall for next year, you have the connection coming into 2022. But I just wanted to see if you had a little bit of --- if you could help us out on timing of that when that should be expected to come in and then also keeping the guide steady where it is in 2022, but we're basing it off the original guide. I just wanted to kind of get your thoughts on what's behind that.
David Slater: Sure. So I'll say this, we're highly confident in our growth for 2022. The Stonewall transaction that we referenced does come into the portfolio in 2022. As we -- I think as we progress through the year and as our key customers sort of solidify their plans, we're certainly going to keep everyone tuned in. But we feel really confident in that range that guidance range that we're laying out for 2022 and we'll update you with new information as it appears.
Unidentified Analyst: Got it. Appreciate the color, guys. I’ll leave it there.
David Slater: Thanks, Steve.
Operator: Our next question is from John Mackay with Goldman Sachs. Your line is open.
John Mackay: Hey, good morning. Thanks for the time. I wanted to start off on, obviously, great Haynesville volumes from the gathering side. Just curious if you could talk a little bit about what you're seeing for the Haynesville kind of takeaway balance overall? And maybe just give us an update on the potential for a LEAP expansion? Thanks.
David Slater: Sure, John. Well, we're really pleased with our Haynesville position and the recent activity that we're all observing in the Haynesville, I think, is a function of the quality resource and the proximity to large growing demand along the Gulf Coast. So, again, as I think about our assets and our position, number one, we have assets in the ground. We're currently serving those LNG markets along the Gulf Coast. We are in flight. We announced back in September LEAP expansion. We actually announced a carbon-neutral LEAP expansion, our Haynesville system expansion, which really is first of its kind in North America. We're not aware of any other project that is offering a carbon-neutral pathway from wellhead all the way to market or in this case to the water. So we're really excited about that. We're working closely with about half a dozen customers, working through the details of that. I feel very optimistic and we expect we'll be able to provide more color on that around year-end or early in first quarter next year.
John Mackay: All right. That's helpful. Thank you. Maybe, one just quick follow-up and just one on the weeds. But just on the new Appalachia Gathering and the new Stonewall contracts, are those kind of in addition to the kind of existing EBITDA base or are either of those kind of replacing maybe some contracts that have rolled off?
David Slater: These are new incremental contracts on those assets. So they'll be new and incremental.
John Mackay: Awesome. That's it for me. Thank you.
David Slater: Thanks, John.
Operator: Our next question is from Michael Blum with Wells Fargo. Your line is open.
Michael Blum: Good morning, everyone. I was wondering if you could give us a little more detail on the NEXUS open season. Just trying to understand is this an expansion of capacity? Are you just signing up existing capacity? And how should we think about rates going forward, assuming you have a successful open season and what's timing of getting the open season wrapped up?
David Slater: Sure, Michael. So the open season closed. It closed about a week ago and we've received favorable responses from the market on that open season. So commercially, the commercial team is working with those customers to work through the details to move those expressions of interest into definitive agreements. In terms of mechanically what we are doing, we're really doing two things. One is the part of the open season was to connect Generation Pipeline directly to NEXUS. So targeting what I'll call the greater Toledo market. The other part of the open season was for mainline capacity on NEXUS. So it's really two different components to that open season. And as I said, we're working through the results. And as we progress those into definitive agreements again, we'll be sharing that with you folks.
Michael Blum: Got it. Great. And then second question I wanted to ask was around Southwestern's very recent acquisition of GeoSouthern. Just curious if that acreage is already dedicated to you? Is this an opportunity? Just want to understand, how this could impact your overall Haynesville position? Thanks.
David Slater: Sure, Michael. Well, first I'd like to congratulate Southwestern for this they continue to execute their strategic goals of consolidating and gaining in scale. When I looked at their strategic rationale, it really aligns with the strategic rationale that we -- that guided us to the Haynesville 2.5 years ago, just high-quality resource large growing markets that are proximal to that resource. So just congratulate them for what looks to be a really excellent transaction for them. It's early days. I did look at a map yesterday, Michael. And there are -- some of the GeoSouthern acreage is adjacent to the Indigo acreage that they acquired. So I think there will be some economies of scale that they will be able to realize, as they develop that acreage. And we just look forward to working with Southwestern. We've got a really strong relationship with them. And as they digest this and actually close the transaction look for opportunities to work with them with this new acreage. And I don't have the details Michael in terms of what acreage is dedicated and not dedicated.
Michael Blum: All right. Thank you very much.
Operator: Our next question is from Alex Kania with Wolfe Research. Your line is open.
Alex Kania: Thanks. Just a question on the carbon-neutral service in the Haynesville. And thinking about some of your proposals that we're seeing in these reconciliation goals about a higher 45Q credit. Just wondering as you think about the economics of the project due to -- if there is an increase in the carbon credit, did that -- would there be economics that accrue to you, would be shared with any customers? Just thinking about what that means obviously a higher credit probably means this asset is more attractive, but I'm just curious about how those economics might work?
David Slater: Sure, Alex. So the economics work with the current tax credit regime that exists today. So we'll just start there. We are very tuned into what's happening in Washington right now. There's a lot of drama going on in Washington right now. But we're optimistic that the 45Q tax credit will see some reform and probably see some what I'll call improvement, where the threshold level is lowered, potentially the actual credit has increased, options for direct pay. So any and all of those would be beneficial to our project, but our project is not dependent upon those. So it works in the current regime.
Alex Kania: Great. Thanks. And maybe just a follow-up on the 2021 and 2022 guidance, again, just thinking about the potential growth into 2022, and having high confidence in that, but obviously 2021 has gotten a lot better. Is that really just a question of things that you've been looking acceleration of either cost efficiencies, or operational efficiencies, or the new connects that has happened quicker in 2021 than anticipated? Just trying to think of maybe thoughts about what might carry from the strength in 2021 into 2022 incrementally for the past couple of quarters since you've been on your own?
David Slater: Yeah, great question, Alex. We definitely have seen some commercial activity pulled forward. The one item that, I mentioned in the opening the treatment plant that, we were able to get done early that's been very positive to our financials here in 2021. And just the new customers also coming in and some of those coming in early are beneficial. But we have been seeing just positive activity around all of our assets. It isn't just one asset. We've been seeing nice activity around all of our assets this year that contributing to this favorability so.
Alexis Kania: Great. Thanks.
Operator: [Operator Instructions] Our next question is from Robert Mosca with Mizuho Securities. Your line is open.
Robert Mosca: Hi. Good morning, everyone. So on the proposed carbon-neutral expansion, just wondering, how much capacity on that system can be carbon-neutral. I'm wondering, if this is maybe the first step towards a larger expansion. Just hoping you could frame that up for us?
David Slater: Sure, Rob. The way we've laid it out to the market is that we have the ability to expand up to 2 Bcf a day. So that would be a 1 Bcf a day expansion. And we can do all of that carbon-neutral through combinations of CCS electric compression. And those are really compression and the treatment plants are really the two big emission sources on the expansion. And we've got a plan and a pathway to eliminate those through electrifying the compression and then feeding that with renewables and through carbon capture and sequestration of the treatment plant emissions. 
Robert Mosca: Got it. So the entirety of the expansion would be carbon-neutral then?
David Slater: Yes. And obviously that depends on what the shippers elect, right? The shippers can elect the green projects, or they can elect what I call the blue project which is a more of a conventional project. My anticipation is Rob, it will be some combination of the two.
Robert Mosca: Great. That's really helpful. And then maybe shifting to the Northeast, just wondering, if you could talk about that long-term agreement you had signed on the Appalachia Gathering System? 25% system capacity seems like a lot assuming that might be a mix of fee-based and other more commodity sensitive, but can you just frame that up for us as well?
David Slater: Sure. It's the typical contract structure that, we have across our portfolio, Rob, where we have a significant take-or-pay component to that agreement. And yes, it is a sizable contract on the Appalachia Gathering System. It represents approximately 25% of our mainline capacity. So it was a very important transaction. It's – the counterparty is a strong counterparty, and a significant producer in the basin with a great operational track record. So we're really encouraged by that and it gets back to my earlier comment about the quality of the resource. The producers are drilling their best resource into a really favorable price environment right now. So we're really happy to work with that producer and be able to establish this agreement. And yeah, it just puts – it puts term and more MVCs into our Gathering portfolio, which as you guys know we love to do that whenever we can.
Robert Mosca: Thank you.
Operator: We have no further questions at this time. We'll turn the call back to the presenters.
David Slater: Well, thank you everybody again for joining us today, and we truly appreciate your interest in DTM. Look forward to working with everybody as we move the company forward. And with that, I'd just like to wish you all have a great weekend. Thank you.
Operator: Ladies and gentlemen, this concludes today's conference call. You may now disconnect. Thank you.